Nicole Engelhardt: My dear ladies and gentlemen, I'm delighted that you've joined today's call, and I would like to extend a warm welcome to all of you. My name is Nicole Engelhardt, and I'm joined today by my colleagues, Ulrich; Laura Deininger; Stefan Arnold; and of course, our CFO, Jorg Walter. Peter Stadelmann, our CEO, is currently on a well-deserved vacation, but sends his best regards. Before we begin, just a few housekeeping notes. [Operator Instructions] I will read out the questions that were submitted via e-mail. These will be answered by Jorg and Stefan. Many thanks to those of you who submitted your questions in advance. This helps us provide more focused and hopefully more useful answers. If a question has already been addressed during the presentation or is similar to another, we may not repeat it during the Q&A. Rest assured, we will make sure that all questions are answered before we conclude the call. Please note that this call is being recorded. A YouTube link will be shared with all participants afterwards. We kindly ask that you do not share this link outside your company's organization. With that, I'll hand over to Stefan.
Stefan Arnold: Thank you very much, Nicole. And also welcome from my side. So my dear ladies and gentlemen, as always, we want to start with some insight into highlights of the past quarter. And today, we are indeed very proud to present you now for the first time, the results of our long-lasting resource efficiency study performed together with Weihenstephan-Triesdorf University and the AXA Insurance canteen in Cologne in Germany. So as you all know, energy is becoming a more and more relevant cost factor for professional kitchens with the rocketing energy prices of the last years. And also water is becoming more and more expensive, so that saving both of these 2 resources is really crucial in terms of efficiency for our customers. And also sustainability topics are very important for part of our customers in order to reach their sustainability goals. With our resource-efficient cooking solutions, we support our customers with one of the most challenging issues they are facing these days in a perfect way. And in addition, maybe even more crucial is the lack of qualified personnel for the customers. So by creating a better working environment, we help them to make the chef profession more attractive again due to better working times and ergonomic working. And to sum up the advantages, so the cooking intelligence also enables the customers to hire untrained staff. So here on this slide, you can see some data regarding the study and the main goals of the study. And the major goal indeed was to get transparency about the usage of energy and water and then to reveal the savings potentials. And you can imagine that such a project is indeed a huge effort. So it took us in total around 3 years. We had different participating parties to coordinate. And of course, everything is under time pressure because the canteen should be ready again as soon as possible. In any case, to perform such a study, you need the opportunity of a renovation project to compare the situation before and after the reengineering of the kitchen with scientific methods. And looking at all these preconditions needed, that's why it lasted around 10 years since the last study that we did with ABB and ETH Zurich at that time. And we are very grateful to AXA and to Weihenstephan- Triesdorf University for the outstanding cooperation here. So the study was run by Professor Dr. Michael Greiner, who specializes in system gastronomy and catering. His research includes topics like the impact of Kitchen 4.0 on staff and guests and the development of new food concepts. He's involved in teaching and supervising thesis in areas related to food technology and system gastronomy. So you see the study was indeed in best hands. So this means due to that, as I said before, measuring the consumption before and after the renovation was possible in a very structured and scientific way using 93 electricity meters and 28 water meters. And here, you see the plan of the old kitchen setup. And you see there is a lot of traditional equipment, but already some combi ovens, including 3 units of our older generation SelfCookingCenter from 2014. The traditional equipment was including 10 boiling kettles or bread pans, but no iVario or VarioCookingCenter. And here now you see the new setup, and this now includes 6 iCombis and 4 iVarios and also a variety of traditional equipment. And to give you even a better insight, let's have a look inside with a short movie. [Presentation]
Stefan Arnold: So I think this was very impressive. And here, just to sum up, again, a little bit the results, you see that they are saving around 1/4 of the initial energy consumption and around 1/2 of the water consumption with introducing new kitchen technology instead of traditional ones. And this is more or less confirming our 2015 study. In addition, another finding was, as already said, the connected load and the power peaks have also been reduced, which means savings in terms of installation costs and contracts with the energy suppliers. And again, to sum up, we saw it in the presentation or in the movie, food quality improved, cooking processes became more efficient, more ergonomic and safer for the users and are giving now more flexibility to the employees how to organize their tasks. In addition, there is less personnel needed, another savings factor. For some applications instead of 8 to 10 people, just 5 are able now to achieve the same performance. And you see it here on the slide. If you want to learn more about the study, click here, and then you can subscribe for the information and find out more. I think it will pay off for you. And with this, I hand over to Jorg.
Jorg Walter: Yes. Thank you very much, Stefan. A real impressive study and concrete proof what customer benefit position we offer our customers in the professional cooking industry. And also from my side, a warm welcome to everybody in this call. Before we come to the financial figures, let's continue what Peter called last time in the last call, the big elephant in the room that is the U.S. tariffs. And as you know, our current production sites are located in Europe from where we export our cooking system into the world. The iCombi is produced in Landsberg, Germany, the iVario is produced in Wittenheim, France and 95% of our suppliers for production materials and components are located within Europe. You also know that we are currently building a factory in China, which is expected to start production end of this year. As we will focus only on the Chinese market with this combi oven, we do not have any impact from the tariff discussion on this project. Now what is the current status? Since early April, we are facing 10% tariffs on our cooking systems imported into the U.S. and 50% on steel products which affects our stands that we import from Europe also. Now we know that these 10% on units will become 15% with the effective date of August 7. However, since our stock turn rate, including shipping time is around 3 to 4 months, the increased tariffs will not materially affect the P&L of 2025. So what measures have we implemented so far in order to compensate or to weather the situation? First of all, we decoupled the logistics streams between Canada and the U.S. and built up a separate stock location in Canada, where we directly supply all products from Europe. Before that, we supplied Canada out of our Chicago warehouse. Secondly, we are looking for local sourcing, especially for stands and also some other accessory products. And third, and this is the most important part, we are in the process to decide on our pricing strategy and further cost measurements in order to compensate for the new tariff situation. We have an internal decision-making process running, and please understand that we cannot disclose more information on this topic at this stage. The good thing, though, is that we still see a very good demand from our U.S. customers, what you will see later when we talk about the sales figures by region. Now let's come to figures, facts and data. And let me begin our numbers part by saying a few words about the general performance of RATIONAL during the first half. The world economy, we all know it is volatile. The hospitality industry is in many markets under pressure. But we still see that the industry is growing on a worldwide basis. And with our products addressing important critical topics of the industry like energy saving and the shortage of skilled labors, we saw that also in the study. We see currently and also in the future unchanged growth potential for RATIONAL. And this is also true for the current year 2025, where we see a consistent demand for our products that enabled us to grow again in unit sales in the first half 2025. This is also important to mention the result of our investment into more salespeople in our markets. And as we will continue the expansion of our sales force, this is also an important building block for our future growth. It was in the past, and it will be in the future. Now these facts, these are all the reasons why we once again are very proud to present figures with new record values for the second quarter and also for the first half of 2025. And this once more demonstrates that our business model is resilient to economic fluctuations in the regions of the world and even at the current volatile situation of our world economy. Now let's start with sales. Despite the challenging economic situation, we continued our growth path. End of June, we achieved a new sales record of EUR 606 million for the first half year and exceed the previous year's sales by 4%. Now it's important to understand the impact from the exchange rate in the development of the years. Now before FX, our sales growth increased to 5.5% in this year compared to 3.8% in 2024. So the growth rate is accelerating. And overall, with these numbers, we are within the range of our guidance for 2025, and we had an overall business development that was in line with our expectations. Looking at the business performance by quarter. Sales revenue in Q1 increased by 3%. There was not a relevant FX effect included. In the second quarter, we achieved with EUR 311 million, a sales increase by 5.5%. And without an FX effect, this would have been an 8.0% growth rate. Q1 was the best second quarter ever and in total, the second best quarter ever. Only Q4 last year with sales of around EUR 380 million was on a higher level. Overall, we also see that the return to our normal seasonality that we talked about before, that means a rising sales level quarter-by-quarter throughout the year. How was the business development by regions? Europe, excluding Germany and North America, both are our largest sales regions. Together, they account for 68% of sales. And these 2 regions have had a significant impact on the group's sales development. North America is the region with the highest market potential for us, has been our #1 growth driver in recent years and continues to do so in 2025. We grow here by 11% and before FX effects, that would have been a 14% growth. In Europe, growth rate was 9%, was mainly driven by the larger markets. So we had good sales in United Kingdom and in Italy and Spain. But in addition to that, the Eastern European markets of Poland, Hungary and Greece also achieved double-digit growth as these markets have a lower market penetration and offer good growth opportunities in the future. Germany was more or less flat. We had sales here of EUR 60 million. That is a bit below 2024, down by 2%. And Asia -- in the Asian region, we recorded a decline in sales. The prior year in Asia was positively influenced by strong business in the region's 2 largest markets, that is China and Japan. In Japan, that is due to fluctuating order behavior of our larger key accounts OEM or our larger OEM partner in Japan. And in key account, this is due to a large one-off additional order from a chain customer that we often talked about. So this good sales growth in the smaller markets, India and Korea, they were unable to offset these bigger effects in Japan and in China. However, we continue to assess the potential of the Asian region as extremely promising for us. That's why we started the Road to China project, and we expect then growth factors or growth trends from these projects starting next year. The smaller regions, Latin America and rest of world, both had a stable sales development with 1% up in Latin America and 4% up in Rest of World. How was the development of our product groups? First, on the right side, the product group iVario. iVario continues the growth part with a sales increase of 9%, with the business in North America growing by around 37% and Rest of World showing a growth rate of 34%. The development of these regions were driving the overproportionate growth of the product group. And in addition to that, Germany and in Europe, especially in France that are the higher volume markets, they continued their stable development on a solid single-digit growth level. On the -- due to the size, basically, the group sales development is mainly influenced by the iCombi business product group. This has grown like the group by 4% and the regional development was the same like we already talked about for the regional development of the group. Now let's move on to the development of earnings. EBIT grows nearly proportionately to sales by 3% to EUR 153 million in half year 1. This is the best half year result that we have ever achieved. And looking at Q2 alone, the EBIT in Q2 was EUR 81 million, which translates into an EBIT margin of 26.1% in Q2. Now when you look at the long-term development, you see here on the graph the development of the absolute EBIT and the EBIT margin since 2019. We achieved in this year with an EBIT margin of 25.3%, a margin level that is even higher than the pre-pandemic level of 2019. And when you look at the absolute EBIT, we have an increase of over 55%. So overall, a very good performance. Now on the next slide, we see more details about our margin development. First of all, proportionate to the sales growth of 4.3%, the gross profit increased by 4.5% and the gross margin was at a stable 59%. We had so far some minor effects of the U.S. tariffs that were compensated by productivity increases in our production processes. On the other hand, and in line with our projections, our operating expenses were up by 8.2%, up to EUR 206 million. We recorded the highest increase in R&D costs, where we increased over proportionally by 22% and thus continued to invest into the future of RATIONAL. We expanded the R&D activities in all areas, so it means all product groups, including iCombi, iVario, the Road to China project and also into our digital platform, Connected Cooking. Now it's important to mention that we have an accounting effect here. That means that we have capitalized EUR 1 million R&D expenses in Q1 2024 and taking this factor out, then we still have an increase of our R&D expenses of 18.5%. Now second important point in the OpEx section is the increase of our sales and service costs by 6%. I talked about it earlier, we expanded our sales team by 7%, which led to higher contacts. So our visits are up 10% and cooking live participants are up 12%, and that makes us also confident for the coming months regarding our incoming quarters. And last, our administration expenses were basically flat as we want to continue to have a lean processes and lean admin team in place at RATIONAL. Last topic on the P&L. We were able to compensate the overproportional increase of OpEx by a balanced currency result. And overall, that leads us to this EBIT increase of 3% that we have seen on the slide before. Looking at the balance sheet, you are familiar with our solid balance sheet structure. There is no change. We have now an equity ratio of 79% and the liquidity ratio of 39%. So it's all very robust. The working capital is growing in line with our business and is on a normal level. So there is nothing special here to report. And when you look at total assets, we have a decline compared to the year-end 2024, and this is due to the dividend payout of EUR 171 million that we did in May. Yes. Finally, let's come to our outlook for the rest of the year. Our figures of the first half year show that our business is running according to our guidance that we were giving end of March. All KPIs, that is sales growth, gross profit margin, OpEx and EBIT margin as of June are fully in line with our plan. We see our operating business for the second half also on our planned level, and that includes growth of activities in the field of our sales force. This includes unit growth, purchase prices, for example, for steels and chemicals and also the progress of our most important projects like our Road to China project. Due to the tariff situation, there, we will not be able to compensate the full financial impact. And due to the stronger euro, we see the EBIT margin at year-end rather in the lower part of our guided range at around 26%. And with this outlook, we are at the end of our presentation. And now we're starting our Q&A session, and I hand over back to Nicole.
Nicole Engelhardt: Thank you, Jorg. Yes, we received quite a few questions. I will start with you, Stefan. Is there any pull forward demand in the U.S. in the first half year pre-tariffs? And how does that compare to the last time you raised your prices?
Stefan Arnold: So when we looked at the figures for Q1 and Q3, there is always a growth -- organic growth of around 13%. I think we have an additional question to that later on. So you see there is no significant pull-forward effect. So this is not comparable at all to the rocketing order intake we had in the last years after announcing the price increases.
Nicole Engelhardt: Who pays the tariffs, clients or you? Or is it a mix?
Stefan Arnold: So basically, in a technical point of view, we are paying the tariffs, but all over where it's ending up, it depends, of course, on our reaction on the pricing side. And there is no decision yet. And from that point of view, no further information on that so far.
Nicole Engelhardt: Beyond 2025, how do you assess the impact of U.S. tariffs for '26? And any comment on the impact expected on volume and pricing?
Stefan Arnold: So as said earlier in the year, so the theoretical view was if there would be tariffs of 10% that we need to increase prices by 6% or 7%. This is still valid. So then with the 15%, it's a little bit higher then. And of course, then depends on the extent to which we are able and willing to pass through this to our dealers or customers. And I think to quantify our effect, what this means for volume is not possible.
Nicole Engelhardt: What is the gross cost of tariffs that you factor into your guidance? And how much of this cost has been seen in the Q2 results?
Stefan Arnold: So we factor in around EUR 10 million for fiscal year '25. And thereof, already around EUR 1 million was in H1.
Nicole Engelhardt: With the U.S. import tariffs now set at 15%, there seems to be more clarity for RATIONAL now. Should we expect price increases in the U.S. in the coming months?
Stefan Arnold: So as said before, so there is, of course, discussions, but there is not a final decision yet. And until this is made, we will not communicate further.
Nicole Engelhardt: What is the actual outlook for the gastronomy industry in your markets?
Stefan Arnold: All over, I think we had the same question in the last call. There is basically no change. One thing we had in the -- in Peter's letter is there was really good feedback from this U.S. consumer study that the out-of-home food will stay really an important part of the people's life, and this is giving a good, let's say, sentiment for the gastronomy industry.
Nicole Engelhardt: Are there any more restrictions from the geopolitical situation?
Stefan Arnold: Yes, indeed, a minor one. So now we are not allowed to sell any cleaning products into the Russian market anymore.
Nicole Engelhardt: Could the new site of Unox in the U.S. create any distortion in your markets?
Stefan Arnold: That's very difficult to say. So you know that we -- from -- we are every few years, also assess the situation. And according to our calculations and also from other companies, we learned that production costs before the tariff situation were around 20% to 25% higher than doing this in Germany. And that's why we decided not to do it so far. So whether this is an advantage largely then depends on currency rates, on logistics costs and import tariffs. And so we also will do this assessment in the foreseeable future and see if the outcome would change then.
Nicole Engelhardt: The next question is rather long. So be prepared. The majority of your addressable market has not been penetrated by you or any of your competitors despite RATIONAL being founded over 50 years ago. What percentage of the TAM has converted to an advanced cooking system in the last 10 years? Which drivers or strategic actions could drive that market share higher at an accelerated pace versus history?
Stefan Arnold: So you know that the market is indeed very intransparent, so right now, we calculate a figure of around 4.8 million potential customers. And calculating with the potentials and the penetration figures we are finding out, we would say that we won over in the last 10 years around 200,000 new customers. So the huge potential is still there. And you also know that we are not really keen on growing as fast as possible. We want to do a proper growth, a healthy growth, and that's why we deem this high single digit as realistic. And from that point of view, this -- where we do not want to accelerate the pace in a way you could maybe imagine.
Nicole Engelhardt: Could you give us an update on the new production plant in China and the planned go-live with the new product in China?
Stefan Arnold: So also here, no changes compared to the last call on this project. So it's running according to plan. We are in the field testing phase right now. Start of production is expected by the end of the year and start of sales is expected early '26 after Chinese New Year.
Nicole Engelhardt: And can you give us an update on the iHexagon?
Stefan Arnold: So we are happy to see, yes, more customer success stories now on the iHexagon. Where we are especially seeing good interest and also order coming in is in football and in other stadiums, especially in the U.K., we are successful here. We are already working on a story in a big Premier League Stadium, which we then will presumably share with you in the 9M call. And also, we have a bigger order from a major German stadium, which we maybe can announce soon as well. So all over, we are quite satisfied with the development so far. But of course, we are not talking about figures right now also in terms of the competitive reasons.
Nicole Engelhardt: Thank you, Stefan. And now a couple of questions for you, Jorg. By how much did you decrease the prices of the cleaning products?
Jorg Walter: We decreased the prices for the green tabs by 5% and for our cartridges, the cleaning cartridges of the AutoDose system by minus 20%. However, there is an exception that is U.S. market. We were just in the process of putting that price increase or decrease through when the tariff situation came up, and that's why for the time being, we stopped the decrease in the U.S. market.
Nicole Engelhardt: Could you remind the price differentials of boiler versus boiler less combi ovens in the U.S. on average?
Jorg Walter: Yes, there can be a big difference. There are entry-level models for boilerless units for a few thousand dollars, but also higher quality and higher-priced versions. Boiler combis can be up to 3x or so more expensive, but it's really difficult to come up with a clear analysis on that one level. So in generally, they are cheaper.
Nicole Engelhardt: Do the growth rates of iCombi plus 4% as well as iVario plus 9% in first half 2025 come up to your expectations in the first half of 2025?
Jorg Walter: Yes, they are according to our growth guidance. And there is maybe a little bit of lagging behind in the iVario. So the 9% is a little bit below our expectation, but that was due to, let's say, timing reasons. So we have a good order intake, and it's just a matter of a month when we will close this gap. So overall, everything in line with our expectation.
Nicole Engelhardt: The growth in Europe, excluding Germany, is at a very good level. What are the key product drivers behind this? And what are the customer groups?
Jorg Walter: There are not any special products and customer groups. So for the iCombi and the iVario, the growth rates were equally by around 10%. Spare parts business was a little bit lower. It was up by 5%. When it comes to customer groups, there are no big key account orders or sales included in there in general compared to the U.S. market. Our key account level is a little bit lower. So I would say it's just a general situation across all customer groups, across all countries, across all segments.
Nicole Engelhardt: Where stands the considerable increase in the Q2 '25 by plus 12% from Europe ex Germany?
Jorg Walter: Germany is flat from Q1 to Q2. So last year, Q2 was stronger. All over, we are satisfied with the development of Germany to keep up the high level in a demanding -- quite demanding environment.
Nicole Engelhardt: What are the reasons for the decline in sales in Q2 '25 in Germany by 6%?
Jorg Walter: That would be one question and the other one. So okay, I answer now the other one. So a considerable increase of the Q2, 12% ex Germany. So yes, I said this in the call already. So in the bigger markets, U.K., Italy and also Spain, they were due to their size, major contributor, they also increased double digit. But also the smaller countries like Hungary, Poland, Greece, Benelux, they also had a very good growth rates. And to the number -- to the question now to Germany, as I said also in the call, it's quite flat there. It's a demanding environment. And therefore, with the EUR 60 million we achieved in this one quarter, that was on the same level.
Nicole Engelhardt: And how should we expect the business to develop in the second half year 2025?
Jorg Walter: All over, we are confident that we will able to keep our good performance that we had in Q1 from an operating point of view also in the second half. So when it comes to unit sales, H1 was on plan. Based on the feedback from our markets, we also expect to be on plan for the second half.
Nicole Engelhardt: What was the currency impact on North American sales in Q2?
Jorg Walter: The currency effect on the North American sales was almost EUR 5 million in Q2 alone, including effects from U.S. dollar and Canadian dollar.
Nicole Engelhardt: Which sales increase did you realize in Q2 '25 in the non-equipment business?
Jorg Walter: The growth rate was around 7% and in the unit business, a little bit less than 5%.
Nicole Engelhardt: And what was the organic growth in the U.S. in Q2 compared to Q1?
Jorg Walter: Q2 was around 13% as well as in Q1, it was a similar number there.
Nicole Engelhardt: Can you explain how the high comparison base in Asia affected the Q2 decline of minus 11% year-on-year in Asia sales? We get it for Q1 and half year 1, but any color on Q2 specifically would be very helpful as it is not easy to see it from the numbers themselves.
Jorg Walter: Yes. In Q1, we were 20% below the previous year. In Q2, it still was around 11%. And if the run rate in Asia continues to around EUR 34 million per quarter, this would be in line with our last year Q3. That means there is no decrease anymore in Q3.
Nicole Engelhardt: When should we anticipate a return to growth in Asia? Can management provide any insight into the size of the markets to be addressed in the Road to China project?
Jorg Walter: Yes. Last year, we had a quite good Q4 in China. So that is a little bit higher comparison, as I just answered the question before that we will be, let's say, on the same level in Q3 compared to previous year. Now we expect really to come back to growth in the next year when we launch the Road to China product. Next to the U.S., the Chinese market is one of the biggest markets in the world. It's difficult now to assess the, let's say, the market size and the addressable market, but it's huge based on the population and based on the low penetration of the iCombi technology, there is a huge potential there.
Nicole Engelhardt: The iVario growth stalls a bit versus what has been seen last year. It still remains solid at 8% year-on-year. So what could we expect for 2025 as a whole? And what explains the slowdown year-on-year?
Jorg Walter: Yes. Well, first of all, I think we always consistently communicate that the iVario growth rate, we expect it to be double the growth rate that is possible for the iCombi. And so it will be -- we shoot for a double-digit growth rate for the iVario. It is very important that we can, let's say, expand our sales in the U.S. market as it is already a very big market for us. So this will be one very important growth driver. And then certainly also our markets in Europe, where we have the sales where we already have a longer duration. We are a longer time in the market. We also expect to be on a solid growth rate. So overall, it should be double digit.
Nicole Engelhardt: I'm not sure if the next question was answered already, but I'm just going to ask you again, just to make sure. What was your share of non-equipment business?
Jorg Walter: The share of the non-equipment business is around 30%.
Nicole Engelhardt: You mentioned Asia was weak due to a difficult comparison year-on-year as last year, you experienced strong orders from China and Japan. However, last year, you reported Asia growth in Q2 '24 of 8% and now a decline of 14%. Can you please elaborate on why on a 2-year comparison basis, you are now selling less in a growth region like Asia?
Jorg Walter: Yes. Well, as I said earlier, there is -- we have -- currently, we still have a high dependency on this one large customer, key account customer in China. And the order behavior, I would say, of this customer is not evenly spread out throughout the year. So you have always fluctuations between the quarters and that very -- makes it difficult to do this comparison. I think what is important to mention is that we have a better look on our street business in China now. The street business in China is developing well in this year. So we are growing there. This is also due to the fact that we increased our sales force. Again, we are hiring people. We do the activities, our normal sales project, and this pays off already. And we expect once we launch the Road to China product that we will be even better suited to then have good numbers in the market on the street business. And on the other hand, the challenge is to keep the big key account, I would say, so to keep it under control or to keep that business on a solid level because it gives us volume.
Nicole Engelhardt: Thank you, Jorg. Stefan, back to you now. What are the reasons for the decrease in the gross margin from 59.3% in the first half 2024 to 58.9% in the first half of 2025. And what is the reason for the increase in the COGS in Q2 by 7%?
Stefan Arnold: So I think compared to H1, the gross margin increased a little bit by 10 basis points from 85.9% to 95.0%. I think what you mean is the margin in Q2 rather. And here, I think the fluctuation was within a normal range. So rather the last year was a positive outlier. And I would say the same applies for the development of the COGS. So in a single quarter, you sometimes have these outliers.
Nicole Engelhardt: By which measures did you increase the productivity in the production and by how much?
Stefan Arnold: So we noted this in the report, I think, or also in the press release. So this is referring to around 10 basis points positive effect coming from -- in the COGS coming from the production costs from the productivity, whereas we rather would have expected at the beginning of the year a slightly negative impact.
Nicole Engelhardt: Could we have more details about sales and service expenses? Should we expect higher OpEx to pursue in half year 2?
Stefan Arnold: So yes. So as we already said in the last call, there is an ambition to invest more in our sales organization. And this would mean, of course, a higher share of sales and service costs here in this position. And so from that point of view, this should happen, yes.
Nicole Engelhardt: Thank you, Stefan. A couple of more questions for you, Jorg. What are the reasons for the acceleration in the admin costs in Q2 2025 by 6%?
Jorg Walter: Yes, we have seen that overall, the admin costs were up 3% on the half year. The acceleration is not a bigger topic. It's due to some higher IT costs, personnel expenses, but also importantly, that we have depreciation for the new facility in the Wittenheim, which started in fall 2024. So this is also having an effect here.
Nicole Engelhardt: Is there any further development of your wage cost?
Jorg Walter: In July, we increased our wages on a worldwide scale of around 3%. And future increases will, of course, depend on inflation and the development in the respective countries. So I think but 3% for this year, depending on the inflation is a good number.
Nicole Engelhardt: Can you please give us a full breakdown of the FX effects in Q2, including net impact on the EBIT margin?
Jorg Walter: The biggest effects come from the U.S. dollar with further significant effects coming from the Canadian dollar, the Brazilian real and the Mexican peso. Year-to-date, June, we have a negative FX effect in the P&L of around EUR 5 million on the EBIT.
Nicole Engelhardt: Why are you so confident in being able to limit the FX impact in the second half 2025 to such a degree as implied by the full year guidance?
Jorg Walter: Yes, I said before that our operating business is running very well. And we looked at the growth rate in Q2 that was before FX, 8% on -- after FX, 5%. So basically, the good positive business development gives us the confidence that we will able to offset negative effects to a certain effects in the second half.
Nicole Engelhardt: Okay. So the next question will be for you, Stefan. If we look at Page 15 of the semiannual report and calculate for each region, the EBIT margin of first half 2025, we get different margins from 18% to 28%. What is the reason for that?
Stefan Arnold: So this is indeed a little bit special this year. So normally, the difference would be lower, and we are rather in a corridor maybe between 22% and 27% between the different segments. And this is due to the different structure we have in these markets. For example, in European markets, the subsidiaries are quite mature and they normally have higher margins. In some overseas markets, there is a lot of pre-investment, for example, in sales capacities, and that's why margins here are slightly lower. This year, the special situation is that Asia North, which is anyhow in the lower part, is very weak compared to strong Europe, meaning the Asian market -- margin is a little bit lower, whereas the European margin is a little bit higher, and that's why the corridor is bigger this year.
Nicole Engelhardt: Jorg, could we have the sensitivity of the EU versus U.S. dollar on the group's profitability?
Jorg Walter: Yes, of course. So 5% devaluation of the U.S. dollar relates into an EBIT effect of minus EUR 8 million on a full year basis.
Nicole Engelhardt: If I did my math correctly, the Q2 fiscal year adjusted EBIT margin was more like 27.4%. Is that correct?
Jorg Walter: Yes, this is correct. So before FX effect, the EBIT margin was 27.4%.
Nicole Engelhardt: What's the key reason to move the fiscal year '25 EBIT margin guidance given the lower section of the guidance, given that it has not yet included the effects of further U.S. tariffs. What's your assumption of tariff rate? And what's your estimated cost impact?
Jorg Walter: So the major drivers of the more concrete guidance is that at this stage in end of July, there is an extra cost coming from the tariff situation and that FX rates will also have a negative impact in the second half. And that on the other hand, we see a very promising business development with compensating these effects. These measures are expressing all over a negative impact in total of around 15 to 100 basis points, which leads us to the lower part of the initial guidance. The tariff assumption is at 15% for the remainder of the year and the total tariff cost for 2025 are estimated at around EUR 10 million for the full year effect.
Nicole Engelhardt: How do you see demand develop into Q3? Are there any prebuy activities in the market ahead of price hikes?
Jorg Walter: Yes. We are not forecasting on a quarterly basis. So we don't give information on the Q3. But we don't have any indication that there is a big prebuying in the U.S. market. The dealers that we have in the U.S., they don't stock our units. So if they get an order, it's directly shipped to the customer's location. And that's why we don't see from the order pattern any prebuying effect. And as we don't have increased -- announced any price increases or price adjustments, there is no need for our customers to act on this.
Nicole Engelhardt: What is the expected development of input cost?
Jorg Walter: Yes, we are expecting the input cost on a stable level right now, maybe rather a little bit lower due to the alloy surcharge that is lower. The tariff costs will eventually end up in the COGS in the U.S., and the 10% rate is already effective and the additional 5% then will end up in our COGS calculation next year.
Nicole Engelhardt: And how well did you start into Q3 2025?
Jorg Walter: Yes, of course, we don't give too much details. But also what Peter said in his letter is that the order intake development right now is very promising. And as it was in Q3, Q2, you saw the results, we don't see any change right now.
Nicole Engelhardt: And what is your gross margin expectation for the second half of 2025?
Jorg Walter: Yes, it will be a little bit lower than the first half due to the currencies and the tariffs. On the other hand, operating and sales level will be on the positive side. So for the full year, we gave our guidance at the lower part of the 26%. First half year was at 25.3%. So second half should also be in that level -- on that level, maybe a little bit lower, but still inside this corridor of 26%, at around 26%.
Nicole Engelhardt: And could you elaborate on current trading/order intake since the quarter closed, especially in North America?
Jorg Walter: Yes, I said before, we don't have any different situation in July that we have with our half year figures.
Nicole Engelhardt: All right. Thank you. And back to you, Stefan. Just for everybody, we have about 10 more questions. So stay with us. Why did you increase inventories and accounts receivables more than in the period of last year?
Stefan Arnold: So one of the major reasons is here is the higher sales levels in June. This led to higher receivables at the end of the quarter then because of the payment terms. And inventories are always depending on the order behavior of our overseas subsidiaries that have warehouses, and this can also be quite volatile and is then at the quarter end, yes, there is a variation. And regarding on the DSO and the stock levels that we are seeing right now, this is on a normal level, we would say.
Nicole Engelhardt: The increase in receivables as seen in your cash flow statement was more negative than seen in Q1. This seems to be driven by a higher increase in DSO between Q2 '24 and Q2 '25. DSO now standing at 49 days, what level should we think about as being quite normalized? Should we expect this ratio to come down slightly towards levels similar to Q3 and Q4 2024, 47 days?
Stefan Arnold: So basically, we would say we think a DSO level of slightly below the 50 is a range where we feel quite comfortable with. We see this is sensible and realizable. And whether it's 47 or 49 is in the end, not crucial.
Nicole Engelhardt: Investments were extremely low. Are you facing delays in your investment projects? Or are you deliberately slowing down the pace of spending in view of the macro uncertainties?
Stefan Arnold: No. We think that we are still largely on schedule with the investment projects. Maybe some delays we see here in Landsberg with one of the other topics, but already, everything is in line. We still see what Peter also said in the -- I remember in the call in -- for the Q1, invoices are somewhat lagging behind, and there is still outstanding invoices also from Wittenheim to a greater extent. But of course, these will come. But looking at this, that there is some delays, maybe it is sensible to say maybe it is not EUR 40 million anymore that we maybe would expect for CapEx, but maybe rather EUR 30 million.
Nicole Engelhardt: Cash flow from operations decreased a lot in the first half of 2025, given higher tax payment and working capital outflows. Why is that? And what's the trend going forward, especially the increase in account receivable and decrease in trade payables? Are they only a timing issue? Or are there any other reasons for the movements?
Stefan Arnold: Yes. I think part of the question was answered before. So I think there's a lot of timing issues regarding the working capital. So this will largely even out over the course of the year. So this is a timing issues. Part of the higher tax outflow is also just a reporting date effect. This will also even out throughout the year. And there's another part of tax payments for the year 2023. And this is, in the end, a one-off effect that will, of course, stay. But if we look at all these timing effects and balance sheet effects, maybe this is then not significant when we look on the cash flow that is expected.
Nicole Engelhardt: For the full year, can we expect operating cash flow to grow generally in line with earnings growth?
Stefan Arnold: Yes. So there is, in our eyes, no structural topic that would lead to a significant deviation here.
Nicole Engelhardt: What would it take for RATIONAL to return to the usual cadence of high single-digit revenue growth?
Stefan Arnold: Yes. I think that's what we pointed out in and out in the last quarters. We are working on this. We want to strengthen the sales organization, hire more salespeople, more feet on the street with this increase the contacts and with this, then in the end, come to higher sales growth levels. But as I said before, high single digit is something we deem as realistic and normal.
Nicole Engelhardt: Thank you, Stefan. Jorg, how do you measure or think about expected return on investment on your recent OpEx investments in your R&D and sales teams? When would you expect this to start translating into revenue growth?
Jorg Walter: I think the investment into sales teams to be already answered a couple of times. We do see a very quick return on investment. Typically, we hire staff that is -- takes, let's say, an onboarding time of around 3 to 6 months. But after that, already, the investment is paying off. And as we have said in this call many times before, we invested in feet on the street, and we see the positive result already in our unit numbers. When it comes to the ROI on the R&D activities, as I said also during the numbers section, the R&D is iCombi, is iVario, is Road to China, is our Connected Cooking platform. So the ROI for Road to China, we -- yes, we have a quite good expectation that we will have a good ramp-up in 2026. And then we talked about, let's say, the new era of the iHexagon, where we know that the -- it takes a little bit longer until we see, let's say, a solid number growth. I would say it's a little bit a mix of the different projects. And especially, as you know, as we are focused with our product offerings, a lot of our R&D OpEx goes into securing our market leadership position. So the ROI is that we maintain where we are. And I think that is an important factor for spending so much in R&D.
Nicole Engelhardt: Should we expect a buildup of unfinished or finished inventory ahead of Road to China late this year?
Jorg Walter: Not really because in the end, we will also in China have the same model that production model that we have here in Europe. That means we will produce to order only. Certainly, in the beginning, it can be possible that we build up some stock at some field or location or to do some stock later on to equip our training centers, but this will not be a big number.
Nicole Engelhardt: Okay. For you, another question, Stefan. Can you clarify the change in the margin guidance? Previously, it was at around 26%. And now are you saying it will be towards the lower end of that range? Is the range 25% to 27% or narrower than that?
Stefan Arnold: So sorry, first of all, for maybe the unclear wording here. So as we said, I think, in one of the calls this year, so the 26% range or around 26% means plus/minus 1 percentage point, and this is 25% to 27%. This was the initial guidance. And now we are guiding to the lower end or to the lower part, and this means rather in the area between 25% and 26%.
Nicole Engelhardt: Thank you. Jorg, last question for this call. Do you already see China demand stalling ahead of Road to China as customers await a more affordable product?
Jorg Walter: It's difficult to say, but the general answer is no. I mean, as I said earlier, we are also investing in feet on the street in China. We are performing our sales process there. The results are good. So we are growing in the street. So we are finding customers for our existing iCombi Pro product range. But certainly, as probably the news is out in the market, I cannot 100% say that there is nobody really waiting for a cheaper product on the market. At least what is important for me is that we are able to grow in this market with the current setting. So with the new one, it will be even better for us.
Nicole Engelhardt: Okay. Thank you, Stefan. Thank you, Jorg. It looks like all questions have been answered. Yes, thank you very much for your participation in today's call. We hope you found the session informative and helpful. As always, we welcome your feedback. Feel free to share any thoughts or suggestions with us. And before we close, allow me to make a brief announcement. We would like to invite you to our IR follow-up session on today's results, and this will take place on August 12, 2025, at 2:00 p.m. CET. You can register via the IR calendar on our website, and we would be very delighted to welcome you there. And with that, I wish you a great week ahead. We look forward to seeing you next week or if not, at the 9 months release on November 6, 2025. Take care, and goodbye for now.